Operator: Hello, and welcome to Universal Logistics Holdings Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen only mode. [Operator Instructions] A brief question-and-answer session will follow the formal presentation. During the course of this call, management may make forward-looking statements based on their best view of the business as seen today. Statements that are forward-looking relate to Universal's business objectives or expectations and can be identified by the use of the words such as believe, expect, anticipate and project. Such statements are subject to risks and uncertainties, and actual results could differ materially from those expectations. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Tim Phillips, Chief Executive Officer; Mr. Jude Beres, Chief Financial Officer; and Mr. Steven Fitzpatrick, Vice President of Finance and Investor Relations. Thank you. Mr. Phillips, you may begin.
Tim Phillips: Thank you, Drew. Good morning, and welcome to Universal Logistics Holdings 2023 second quarter earnings call. Once again, our team of associates continue to perform at the highest level, supporting continuous improvement in growth objectives of the company. I'm very optimistic about the collection of talent Universal has been able to assemble increasing our bandwidth and putting us in a position to take on new opportunity and fine-tune our existing operations particularly in the contract logistics space. Although we experienced different levels of success amongst the business units in Q2, the framework of experienced human capital, we have put in place is poised to take advantage of the growth opportunities when the freight volumes pick up and new business awards are launched and what an exciting time to be in Detroit and across the automotive space. OEMs are investing billions of dollars in capital in the next generation of electric vehicles and our long tenured relationships with these customers is paying off. As they add EV production capacity into their product mix, we are able to capitalize on these opportunities and add major EV platforms to our already strong contract logistics portfolio. The transportation and logistics community continue to experience inventory destocking as consumer demand for goods remain tempered. Falling in line with demand, transportation pricing was also remains under pressure. Our transactional business continued to navigate very choppy waters while new contractual opportunities saw a modest softening in pricing, driven by competitive spirit of asset carrier competition. Leadership remains focused on evaluating and supplying our customers with the best pricing while keeping a keen eye on continued quality commitments in an inflationary environment. The first two quarters of the year confirm that our diversified operating footprint continues to produce results. Universal's four operating segments have helped balance the regression in freight volumes and pricing. Our Contract Logistics segment has continued to fire on all cylinders, while our agent-based trucking model and its variable cost structure has helped protect its margin in the current freight environment. While intermodal drayage and brokerage have battled reduced imports, reduction of domestic volumes and pricing pressure. While operations have been focusing on cost control and execution, our sales team has been hard at work renewing and uncovering new business opportunities. Our pipeline remains full of opportunities to expand our load volumes and increase our market share. This has outlined a tremendous amount of cross-sell opportunities within the four service groups and we continue to campaign to educate the customer on our complementary services that help solve their supply chain needs from ship to warehouse. As previously mentioned, we remain optimistic on the autos and Class 8 truck space and continue to have positive conversations on the order books for agriculture, heavy machinery and aerospace. While the retail environment remains constricted, we are optimistic that the current inventory destocking will run its course through the next quarter or two, and we will be in a more normalized atmosphere in 2024. Our associates remain focused on delivering exceptional performance while providing a high degree of value to our customers. Now for the quarter, in yesterday's release, Universal reported 2023 second quarter earnings of $0.90 per share and total operating revenue of $412.6 million. While our operating margin fell in line with our guidance for the second quarter, operating revenue fell short of projection, heavily influenced by weak imports and brokerage volumes. Our operating ratio was similar to Q1 and was positively influenced by great execution and cost control in our contract logistics segment. While difficult comparison to the record of results of 2022, the second quarter represented solid staying power amid a freight recession, providing further confidence with the diversification of the operating model. Now for some color on each of our service lines. In our Contract Logistics segment, the number of active programs continued to increase and finished the quarter at 68 programs. Interest remains robust in the automotive and heavy truck sector with increased curiosity in agriculture, heavy equipment, aerospace and other forms of manufacturing. Our high velocity and complex operation solutions have provided perfect case studies for those customers looking to optimize their current inbound material flow and processes. Auto production remained consistent throughout Q2 with much of the quarter operating on a five-day a week work cadence with some six-day workweeks. Overall, output for the plants we service was down slightly from Q1 2023, but above the levels of Q2 2022. The SAAR remained elevated over 2022, while tracking around 15.6 million units. We remain pleased with the performance of the Contract Logistics segment and are encouraged by the second-half of 2023 production forecast. 2023 Class 8 production levels continue to exceed 2022 volumes with a forecast of production strength for the remainder of the year. 2023 production totals our forecast in the neighborhood of 328,000 units versus 315,000 units in 2022. While we've had a few shortened work weeks because of part shortages in the plants we serve, production volumes were above 2022 levels. All indications point to an uptick in production for the second-half of 2023. As mentioned, our Contract Logistics value-added pipeline remains full. We recently were awarded 3 new programs with an annual run rate of $10.5 million. These programs are in various stages of prelaunch and run with the largest being a sizable operation serving the auto industry in Mexico. With over a 20% increase in near-shoring activity, this sizable win is another piece in our strategic growth objectives in Mexico. In addition to the mentioned launches, we were awarded two very large contracts serving Class 8 truck manufacturer and electric vehicle assembly operation. The facility for servicing electric car production will be operated by Universal in the city of Detroit and will be launched in the back half of 2024. We are also in the final stages of negotiation on another large-scale EV material handling and warehouse opportunity in the Mid-South. The Dedicated Transportation group continues to onboard new business and execute, taking advantage of a high velocity platform to satisfy complex and demanding inbound material environments. We continue to showcase our velocity model, which is a fabulous entry into additional opportunity for existing customers. and a great case study for new customers looking for the next level of execution and service. Revenue for the quarter was up 8.3%, primarily due to new business wins. In the quarter, Dedicated had an extremely successful launch of a large automotive customer in the Southeast, which assisted in the elevated load volumes. Overall, automotive customer volumes remain consistent with less influences of part shortages, which were experienced in Q2 of 2022. We are in the process of launching a sizable, dedicated operation in Q3, which will employ 75 drivers servicing an automotive customer in the South. We expect the program to be up to full run rate mid-Q3 generating in the neighborhood of $6 million in annual top line revenue. In conjunction with our value-added services group, Dedicated will launch a 41 driver operation based in mid Mexico, at the start of Q4 with an annualized run rate of $10 million. Our Mexican strategy encompasses both value-added and dedicated transportation solutions. The dedicated group continues to collect quality opportunities in the pipeline. We are in the later stages of bid processes on a handful of sizable opportunities in the automotive agriculture space. We are extremely encouraged by the feedback and remain confident in the team's ability to competitively price, win and launch high velocity operations. Our intermodal drayage group continues to operate in a restricted import environment. Q2 U.S. import volumes remain muted as a result of the current inventory destocking cycle. We continue to hear the narrative from our customers of reduced volumes and muted upcoming peak season. While we expect to see some normal seasonal uptick, our planning is geared for near-term cost control and optimization opportunities. The sluggish import environment continued to restrict overall load volumes in the quarter, which fell 22.6% and contributed to a 41.6% decline in top line revenue over the same period in 2022. Accessorial charges continue to normalize as congestion and supply chain issues of 2022 were all but gone in Q2 of 2023. Storage and demurrage billings declined over 60% or $20.2 million. The average revenue per load ex fuel was down 15.3% to $590 per load, as the market remained extremely competitive. Declining rates, increased operating costs and wage inflation compressed the group's margin in the quarter, nowhere was that more apparent than our Southern California operation, which saw import volumes coming through the port down nearly 20% over the same period in 2022. Reduced volumes, coupled with excess capacity has given shippers a clear runway to reduce rates. Because of these various top line -- because of these various factors, top line revenue was down 41.6% over Q2 2022. Losses in Southern California affected our overall EPS by $0.13 per share. Our team did a great job of procuring assets and staffing with drivers as we flip the model to company drivers late last year. But the restricted freight volumes have kept us from optimizing the operation. We are highly motivated to reform our operational fluency and have a list of initiatives that will provide the framework for future success. We will continue to protect the assets we have worked so hard to obtain, but we'll closely watch the balance of labor. Our sales team has continued to see an abundance of opportunities flow through the pipeline, but most of the opportunities have come with reduced pricing expectations. We had a couple of new business launches in Q2 and expect to onboard another 5 sizable opportunities in Q3. The group is working tirelessly to shape the model, manage their assets and onboard new business. We will be ready to service the customers' needs as freight volumes increase in the market. Volume headwinds remain the storyline in our Trucking segment. Overall load count was down 13.7%, coupled with a 10.7% decrease in revenue per load. The group experienced a decrease of 23.7% in broker revenue, while the truckload revenue was helped along by the increase in wind energy movements for the quarter. Our open deck low count saw a sizable drop in industrial products, while steel and metals were down single -- mid-single digits. On the van side, a decline in retail and consumer goods greatly influenced the revenue numbers. Top line revenue of $81.2 million was down 23.7% for the quarter, while operating income decreased $5.2 million to $4.4 million, compared to $9.6 million last quarter of '22. Of note, the operating results from 2022 include a $3 million credited related previously disclosed items. While volume remains a challenge for the group, the model's flexibility is apparent in this freight and price-sensitive environment. Our Truckload business development group is hard at work securing new agents and cultivating customer opportunities. We're excited about the upcoming opportunities that are in the pipeline. And in fact, initial forecast look very favorable for our wind energy business, the remainder of 2023 and into 2024. Recognizing the evolving requirements to do business in the vertical, the Truckload group has secured production slots for new fleet of trailing equipment to handle larger, heavier wind mills of the future. Company managed brokerage saw top line revenue drop 46.3% in the quarter to $29.6 million as inflation and consumer spending continued to drive down pricing, which resulted in reduced tender opportunities. Consistent with the overall freight environment, our brokerage opportunities have been extremely competitive. We continue to align our pricing and selection of freight to give the operations team the best opportunity to make money on everything they do. We are not interested in pricing freight to increase volume at substantial losses. Spot opportunities with decent margin potential are much harder to come by compared to the same period last year, and this is reflected in our contractual freight remaining over 70% of our top line revenue. Operating revenue per load decreased 20.3% to $1,599 per load and the low count was down 21.5%. Gross margin deteriorated from Q1 2023 and was well below what we were able to achieve in Q2 2022. The group has not only experienced pricing headwinds, but heightened expectations from the carrier base, which has added further pressure on the margin. Third-party capacity has loosened, but expectations driven by wage inflation, equipment and part costs have not come down proportionately to price reductions. While we remain optimistic about our pipeline and opportunities presented across all our operating segments, we are guarded on the current landscape for brokerage and intermodal. Continued pricing headwinds will make for a competitive near-term environment. We will take the opportunity to make sure that all of our transportation groups are foundationally solid and ready to scale when volumes return to the market. That said, we remain bullish on our Contract Logistics solutions and the value they present to our customers, both now and into the future. We continue to find that our contract logistics model provides customers with an extremely accurate high-velocity solution to streamline their supply chain as they consider the effects of wage inflation, training and development in today's environment. Finally, I would like to thank all of our Universal associates for their hard work and dedication. While technology remains a catalyst for change, our valued associates continue to provide thoughtful solutions for our customers. It is apparent we will continue to face inventory destocking and evaluated interest rates -- I'm sorry, elevated interest rates, but there are signs of moderation in inflation that could provide a pathway for improved freight volumes. I remain extremely pleased with our diversified portfolio of services, which provide balance, stability and a comfortable level of predictability for all of our stakeholders. I would now like to turn the call over to Jude for a detail of our financial performance.
Jude Beres: Thanks, Tim. Good morning, everyone. Yesterday, Universal Logistics Holdings reported consolidated net income of $23.6 million or $0.90 per share on total operating revenues of $412.6 million in the second quarter of 2023. This compares to net income of $44.7 million or $1.69 per share on total operating revenues of $527.2 million during the same period last year. Consolidated income from operations was $36.4 million for the quarter, compared to $64.7 million one year earlier. EBITDA decreased $35.1 million to $55.8 million, which compares to $90.9 million during the same period last year. Our operating margin and EBITDA margin for the second quarter of 2023 are 8.8% and 13.5% of total operating revenues. These metrics compared to 12.3% and 17.2%, respectively, in the second quarter of 2022. Recall that in the second quarter of 2022, operating results were favorably impacted by a $3 million pretax credit related to a previously disclosed item. Looking at our segment performance for the second quarter of 2023. In our Contract Logistics segment, which includes our value-add and dedicated transportation businesses, income from operations increased $3.4 million to $32.8 million on $208.8 million of total operating revenues. This compares to operating income of $29.4 million on $207.3 million of total operating revenue in the second quarter of 2022. Operating margins for the quarter were 15.7% versus 14.2% last year. On to our Intermodal segment. Operating revenues decreased $65.3 million to $91.6 million compared to $156.9 million in the same period last year. And income from operations decreased to $21.6 million to an operating loss of $200,000. This compares to operating income of $21.4 million in the second quarter of 2022. Operating margins for the quarter were negative 0.3% versus positive 13.6% last year. As mentioned in Tim's comments, our Intermodal segment's operating results were negatively impacted by operating losses in California. For the quarter, California drayage operations lost $4.7 million, impacting segment margins by 720 basis points and consolidated results by $0.13 per share. In our Trucking segment, operating revenues for the quarter decreased to $25.3 million to $81.2 million, compared to $106.5 million in the same quarter last year. And income from operations decreased $5.2 million to $4.4 million. This compares to operating income of $9.6 million in the second quarter of 2022. Operating margins for the quarter were 5.4% versus 9% last year. The $3 million favorable credit in the prior year positively impacted the Trucking segment in the second quarter by 280 basis points. In our company-managed brokerage segment, operating revenues for the quarter decreased $25.5 million to $29.6 million, compared to $55.1 million in the same quarter last year. While income from operations decreased $4.9 million to an operating loss of $786,000. This compares to operating income of $4.2 million in the second quarter of 2022. Operating margins for the quarter were negative 2.7% versus positive 7.5% last year. On our balance sheet, we held cash and cash equivalents totaling $65 million and $10.1 million of marketable securities. Outstanding interest-bearing debt net of $4 million of debt issuance costs totaled $378 million at the end of the period. Excluding lease liabilities related to ASC 842, our net interest-bearing debt to reported TTM EBITDA was 1.43 times. Capital expenditures for the quarter were $48.5 million. For the full-year, we expect capital expenditures to be in the $235 million range, comprised of $110 million of capital equipment and $125 million in strategic real estate purchases. Interest expense for the year is expected to come in between $20 million and $25 million. Based on the current operating environment, for the third quarter of 2023, we are expecting top line revenues between $410 million to $430 million and operating margins in the 8% to 10% range. We expect continued softness in both volumes and rates across our transactional transportation businesses, but a stable operating environment for our contract logistics business through the end of Q3. Finally, Wednesday, our Board of Directors declared Universal's $0.105 per share regular quarterly dividend. This quarter's dividend is payable to shareholders of record at the close of business on September 4, 2023 and is expected to be paid on October 2, 2023. With that, Drew, we're ready to take some questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Bruce Chan with Stifel. Please go ahead.
Matthew Milask: Good morning, team. This is Matt Milask on for Bruce. Thanks for taking some of our questions.
Tim Phillips: Hi, Matt.
Matthew Milask: To start, can you provide some insights from your trucking business on how industry capacity is currently trending? And with respect to Class 8 trucks, are you seeing any signs of demand cooling there.
Tim Phillips: Yes. As far as -- Matt, this is Tim. As far as the industry trends on the actual transportation trucking side, I do still see a very loose environment. Not only is that indicative from what we're seeing on our intermodal product, but also the pricing we're seeing on the brokerage side of things, says all we need to hear, it's very soft. And the number of opportunities flowing through the pipeline right now are -- I don't say they're not limited, but they're not what they were a year ago, and they're very, very competitive price-wise. As far as production of Class 8, we've seen no letup in production in Class 8. And as I mentioned in my remarks, at least from the customers we touch, we expect an uptick in Class 8 in the second-half of the year. And while first half of the year numbers were better than first half of the year numbers 2022, the first half of 2023 still saw some parts shortage issues that caused some production disruption. So I expect the remainder of the year to be better than the first-half of the year, hard to comment on 2024 yet.
Matthew Milask: Okay. Super helpful. On the Intermodal business, can you provide any additional color around recent pickups in the import volumes there? And sort of what exactly you're seeing there in late July and then perhaps when you might expect comps to ease for accessorial declines within that business?
Tim Phillips: Yes, that's a rough one, because just like a lot of the other things that we talk about when we entered and exited the COVID phase, there was such a pent-up demand in supply chain that hadn't -- that didn't have great fluency, a lot of those accessorials that you see declining are a result of that congestion and what we had to charge to make sure that we serviced our customer properly. In a more fluent supply chain network, we don't see those same opportunities for help with port storage or per diem or port surcharges related around congestion. So those have all been evaporated. So that kind of tells you also the second part of what you were asking, the volumes at the port remain muted, and it depends, of course, what segment that you're working with from a customer standpoint, but we continue to see retail in a muted or a negative type standpoint, at least from the customers we deal with, heavy industrial, chemicals, some raw materials, also in a challenging state. And we've seen some pickup, but that pickup has been in miscellaneous type goods, and I really couldn't give you a good lay of the land of exactly what it is coming into the ports. But the expectation is that we will still remain constricted through Q3, follow the same seasonality cycle, maybe a little uptick just because we will get into back-to-school or Thanksgiving, Halloween, Christmas, but I don't expect it to be something we'd sit here at the end of October on our call and have this huge increase in volumes.
Matthew Milask: Okay. Yes, that makes a lot of sense. And lastly, I know that you mentioned your expectation for destocking to really run its course over the next couple of quarters here. Generally, are you hearing any sort of material differences from your industrial customer base here? And maybe how far behind that sector might be from the consumer side with respect to destocking?
Tim Phillips: Well, that's a good question. If I had to pinpoint from an industrial standpoint, I mentioned on our open deck type movements, there's definitely been a decline in the movement of industrial equipment. Steel has remained somewhat resilient, but still down mid-single digits. So I see somewhat of a restriction going in raw materials for whatever production purpose and process that would be for. Same thing could be said from -- we deal with a couple of large industrial customers on the Intermodal side and their import volumes, material that they use in the production process is down at least 20%, maybe 30%.
Matthew Milask: Got it will jump back in the queue. Thanks a lot.
Tim Phillips: You’re welcome.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Tim Phillips for any closing remarks.
Tim Phillips: Thanks, Drew. First off, I appreciate everyone taking the time to listen this morning. I remain confident in our continued growth in the contract logistics segment of our business. And while the Transportation segment has faced many headwinds, I'm optimistic that the hard work that is being done will have us well positioned when freight volumes begin to increase. I look forward to updating you on progress during our Q3 earnings call slated for late October. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.